Operator: Good morning, and thank you, and welcome to the Camden Property Trust Third Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kim Callahan. Please go ahead.
Kim Callahan: Good morning and thank you for joining Camden’s third quarter 2020 earnings conference call. Before we begin our prepared remarks, I would like to advise everyone that we will be making forward-looking statements based on our current expectations and beliefs. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC, and we encourage you to review them. Any forward-looking statements made on today's call represent management's current opinions, and the company assumes no obligation to update or supplement these statements because of subsequent events. As a reminder, Camden's complete third quarter 2020 earnings release is available in the Investors section of our website at camdenliving.com, and it includes reconciliations to non-GAAP financial measures, which will be discussed on the call. Joining me today are Ric Campo, Camden's Chairman and Chief Executive Officer; Keith Oden, Executive Vice Chairman; and Alex Jessett, Chief Financial Officer. We will attempt to complete our call within one hour. As we know, another multi-family company is holding their call right after us. We already have 15 analysts in the queue right now. So please limit your questions to two. If we are unable to speak with everyone in the queue today, we’d be happy to respond to additional questions by phone or e-mail after the call concludes. At this time, I’ll turn the call over to Ric Campo.
Ric Campo: Thanks, Kim. Our on-hold music today was attributed to team Camden. We wanted to celebrate the incredible results of our onsite team supported by our regional and corporate staffs that they have achieved throughout the COVID storm. Despite all the turmoil, team Camden never stopped taking care of business. That's what you can expect from a team of all-stars. Instead of 1,000-yard stare, team Camden showed up every day with the eye of the tiger, reminding us of what we know is true, you're simply the best. So this evening we will join you in spirit, as you all raise your glass to celebrate your remarkable performance. Cheers. Our performance for the third quarter was driven by our team, but was also aided by our Camden brand equity and our capital allocation and market selection. We've always believed that geographic and product diversification would lower the volatility of our earnings. We’re in markets that are pro-business, have an educated workforce, low cost of housing and high quality of life scores. These attributes drive population and employment growth, which drives housing demand. The only exception to this market generalization for us is Southern California. Compared to most other parts of California, however, our properties are in the most business friendly cities and areas in the state. Our markets have lost fewer high paying jobs than other markets in the U.S. As a matter of fact, it's 5% losses for Camden markets versus 15% for the U.S. Overall, year-over-year employment losses through September have been less in our markets. Job losses in most of our markets have been in the range of down 2.5% to down 5%, the best being Austin, Dallas, Phoenix, Tampa, Atlanta and Houston. Toughest markets have been Orlando, Los Angeles and Orange County with job losses between 9.5% and 9.7%. Another key employment trend – our other key employment trends are that are supporting our residents' ability to stay in their apartments and pay rent is that when you think about the job losses that we lost at the beginning of the pandemic, there were 22 million jobs lost, 11 million had been added back. Of the jobs that have not been added back, 5.8 million are low-income workers making less than $46,000 a year. And another group 4.1 million folks have not been added back that make between $46,000 and $71,000 a year. So the lion's share of the 11 million jobs that haven't been – that have not been added back are really not our residents. There are lower income workers that do not live at Camden. Most of our residents have higher income than that. And it's unfortunate that we have that many job losses, and we obviously need to add those jobs back as soon as possible, but they aren't negatively impacting Camden's resident base. Again, I want to thank our team Camden for delivering living excellence to all of our residents, and I'll turn the call over to Keith Oden, our Executive Vice Chairman.
Keith Oden: Thanks, Ric. I'll keep my remarks brief today so that we can get to as many of your questions as possible. Obviously, we're more than pleased with our results for the quarter. This is certainly the kind of performance that is worthy of celebration by team Camden. Overall, things seem like they're getting back to something closer to normal, and that's quite a contrast to where we were in April and May of this year. A few signs that conditions of stabilizing our markets, occupancy for the third quarter was 95.6%, up from 95.2% in the second quarter. Several of our communities are actually exceeding their original budget for occupancy. Turnover continues to be a tailwind at 48% for the third quarter and only 42% year-to-date. There continues to be a lot of anecdotal evidence that home sales are spiking. In our portfolio, we had 13.8% move-outs to purchase homes in the first quarter of this year that moved up to 14.7% in the second quarter. And in the third quarter, it moved up again to 15.8%. But if you take the average, the average year-to-date move-outs to purchase homes, it was 14.8% versus a full year 2019 of 14.6%. So really very little change year-over-year. We did see a little uptick in October to 18%, but Q4 is always a little bit elevated. Clearly, this is a stat that bears some watching to see if the anecdotal evidence starts showing up in the stats. Thanks to all at Camden for a remarkable year so far. Everybody keep your rally caps on for the rest of the year, and I'll turn the call over to Alex Jessett.
Alex Jessett: Thanks Keith. Before I move on to our financial results and guidance and brief update on our recent real estate activities. During the third quarter of 2020, we stabilized Camden North End I, a 441 unit $99 million new development in Phoenix, Arizona, generating over a 7% stabilized yield. We completed construction on Camden Downtown, a 271 unit $131 million new development in Houston. We recommenced construction on Camden Atlantic, a 269 unit $100 million new development in Plantation, Florida. And we began construction on both Camden Tempe II, a 397 unit $115 million new development in Tempe, Arizona, and Camden NoDa, a 387 unit $105 million new development in Charlotte. For the third quarter of 2020 effective new leases were down 2.4% and effective renewals were up 0.6% for a blended decline of 0.9%. Our October effective lease results indicate a 3.5% decline for new leases and a 2.1% growth for renewals for a blended decrease of 1%. Occupancy averaged 95.6% during the third quarter of 2020 and this was up from the 95.2% where both experienced in the second quarter of 2020 and that we anticipated for the third quarter of 2020 leading in part to our third quarter operating outperformance, which I will discuss later. We continue to have great success in conducting alternative method property tours for prospective residents and retaining many of our existing residents, with actually a slight acceleration in total leasing activity year-over-year. In the third quarter, we averaged 3,227 signed leases monthly in our same property portfolio, slightly ahead of the third quarter of 2019 where we averaged 3,104 signed leases. To-date, October, 2020 total signed leasing activity is on pace with October, 2019. Our third quarter collections far exceeded our expectations. As we collected 99.4% of our scheduled rents with only 0.6% delinquent. This compares favorably to both the third quarter of 2019, when we collected 98.3% of our scheduled rents with a higher 1.7% delinquency and in the second quarter of 2020, when we collected 97.7% of our scheduled rents with 1.1% of our residents in a deferred rent arrangement and 1.2% delinquent. The fourth quarter is off to a good start with 98.1% of our October, 2020 scheduled rents collected. Turning to bad debt, in accordance with GAAP, certain uncollected rent is recognized by us as income in the current month. We then evaluate this uncollected rent and establish what we believe to be inappropriate bad debt reserve, which serves as a corresponding offset to property revenues in the same period. When a resident moves out owing us money, we typically have previously reserved 100% of the amount owed as bad debt and there'll be no future impacts to the income statement. We reevaluate our bad debt reserves monthly for collectability. Turning to financial results. Last night, we reported funds from operations for the third quarter of 2020 of $126.6 million or $1.25 per share, exceeding the midpoint of our prior guidance range by $0.08 per share. This $0.08 per share outperformance for the third quarter resulted primarily from approximately $0.055 in higher same store revenue comprised of $0.025 from lower than anticipated net bad debt due to the previously mentioned higher than anticipated collection levels and higher net re-letting income, $0.01 from the higher than anticipated levels of occupancy and $0.02 from higher than anticipated other income driven primarily from our higher than anticipated levels of leasing activity. Approximately $0.005 in better than anticipated revenue results from our non-same store and development communities. Approximately $0.005 in lower overhead due to general cost control measures and an approximately $0.015 gain related to the sale of our Chirp technology investment to a third-party, this gain is recorded in other incomes. We have updated our 2020 full year same store revenue, expense, and net operating income guidance based upon our year-to-date operating performance and our expectations for the fourth quarter. At the midpoint, we now anticipate full year 2020 same-store revenue to increase 1% and expenses to increase 3.4% resulting in an anticipated 2020 same store net operating income decline of 0.3%. The difference between our anticipated 3.4% full year total expense growth and our year-to-date total expense growth of 2.4% is primarily driven by the timing of current and prior year tax refunds and accruals. The increase to our original full year expense growth assumption of 3% is almost entirely driven by higher than anticipated property tax valuations in Houston. We now anticipate total same-store property taxes will increase by 4.7% in 2020 as compared to our original budget of 3%. Last night, we also provided earnings guidance for the fourth quarter of 2020. We expect FFO per share for the fourth quarter to be within the range of a $1.21 to $1.27. The midpoint of $1.24 is in line with our third quarter results after excluding the previously mentioned third quarter gain on sale of technology. Our normal third to fourth quarter seasonal declines in utility, repair and maintenance, unit turnover and personnel expenses are anticipated to be entirely offset by the timing of property tax refunds, lower net market rents and our normal seasonal reduction in occupancy and corresponding other income. As of today, we have just under $1.4 billion of liquidity comprised of approximately $450 million in cash and cash equivalents. And no amounts outstanding underneath our $900 million unsecured credit facility. At quarter end, we had $384 million left to spend over the next three years under our existing development pipeline. And we have no scheduled debt maturities until 2022. Our current excess cash is invested with various banks earning approximately 30 basis points. At this time, we’ll open the call up to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Nick Yulico with Scotiabank. Please go ahead.
Sumit Sharma: Hi, good morning, guys. This is Sumit Sharma here in for Nick. Thank you for taking my question. So the last quarter you guys played The Doors, and two quarters ago, it was a Led Zeppelin cover. So very strong picks, both of them match, right. And today’s whole music, as you mentioned earlier, it was the Eye of the Tiger. So I’m thinking you guys are feeling better. So it’s kind of my obligation to ask you, but what factors or risks could actually change your optimism looking ahead in terms of collections and market dynamics?
Ric Campo: I think it’s all about reopening the economy and obviously, what would worry us today is 33 states spiking with coronavirus and certain – where we heard – I heard this morning on the news that El Paso was thinking about a shutdown. Ultimately, I don’t think anything works in the economy, whether it’s apartments or any other business, if you don’t have employment and you don’t have the economy working going forward. And so what would concern me would clearly be a go back to a March, middle of March shutdown. And if that happens in America, then all bets are off again on everything, I think.
Keith Oden: Yes. I would just add to that, that policy driven mandates regarding the ability of landlords to control the destiny of their real estate similar to the CDC mandate. If we start seeing those types of mandates at the national level that continue to push out the ability for landlords to get control of their real estate through the eviction processes, that needs to come to a positive ending in terms of allowing landlords to get control of their destiny and their real estate. So I would add that to Ric’s point about getting the economy open again. So those two things probably would be at the top of my list.
Sumit Sharma: Great. And if you guys could sort of comment on Camden Downtown I in Houston. I know it’s 39% leased, but it’s in a market that you saw the largest year-over-year and sequential occupancy drops. So I’m just trying to understand whether newer apartments are easier to lease as we’ve heard from other markets, or is there some of the factors that could drive optimism for the project? I think you have downtown doing the pipeline. So I know it’s probably for prospective start, but just wondering what could sort of change the equation on that particular asset?
Ric Campo: Sure. Houston, I think in general, I’m going to talk about Houston, but I think most markets in America, maybe ex-California, most of our markets are experiencing supply and demand fundamentals the way they were pre-pandemic. Now there’s definitely a pandemic kind of overlay, but Houston was a soft market going into the pandemic. If you think about the energy business in 2019, the energy business was not that great. I mean, at the beginning of 2020 – sort of third quarter of 2018, oil went from $70 a barrel to under $40 a barrel at the beginning of 2019. And so energy wasn’t really recovering. And then what was going on is you had Houston was kind of the only market in America in 2017 that had actually a decline in supply. So of course, what productive merchant builders do is they build their pipelines up and Houston now has a lot of new development that’s coming online. So what’s driving the Houston market today is definitely some weakness because of coronavirus, but generally speaking, Houston’s actually fared pretty well. We’re down year-over-year of 5% in terms of job growth. We’ve lost 300,000 jobs and out of the half of those are back, which is pretty amazing, it’s sort of about 150,000 jobs lost. So I’m actually very encouraged by the downtown lease-up because we’re leasing about 7 to 10 units a month there. Normally you lease 30 units a month. But given that downtown office occupancy is about 15% right now, it’s actually doing really well. And I think there are a couple of pieces to that equation. And I think a lot of people forget that urban properties or downtown properties like in Houston or Atlanta or Dallas or Charlotte are not the same as Downtown New York or San Francisco, or – mostly the Southern cities and cities that are less dense than some of the challenges that are happening in San Francisco, New York, they’re just not the same. And so our urban is very different than urban in some of the other markets that people think about. And so ultimately our second phase is definitely there, but we’re not going to start at anytime soon given the supply and demand pick up. I think downtown will continue to be really good over a long period of time. We’re definitely going to be challenged in terms of achieving our original perform on this project during the pandemic as we would be with any property today that’s in lease-up. With that said, I think it’s – the fact that it’s 39% leased is really good. We did have a Y Hotel in there to start with. And of course, given the pandemic, Y Hotel doesn’t make sense in a hospitality side of the equation today.
Sumit Sharma: Thank you so much.
Operator: Our next question will come from Alua Askarbek with Bank of America. Please go ahead.
Alua Askarbek: Hi, everyone. Thank you for taking the questions today and congrats on a great quarter.
Ric Campo: Thank you.
Alua Askarbek: So to start off, just thinking more about the leasing activity as well. Big picture, are you starting to see a slowdown in any particular markets or across the board in your Sunbelt markets as we head into the quieter months? Or do you still see a lot of demand and especially a lot more demand of movement from out of state and out of the area like the Northeast and West Coast?
Keith Oden: Yes. We definitely are seeing in-migration, but that’s been going on for the last decade from Northern markets and from California to some of our markets. Clearly, it’s gotten – it’s ramped up during the pandemic, but that’s a trend that’s been in place for a long time. In terms of overall traffic, our traffic numbers are down year-over-year low double digits, like 12% down in total traffic. But the interesting thing is, is that the traffic that we do get is much more motivated. Our closing rates are higher. We’ve intentionally dialed back on some of our internet’s fin because we just don’t – we’re at 96%, almost 96% occupied now, and the traffic that we do get is very motivated. So while traffic is down overall, we still see more than enough traffic to maintain our occupancy where it is right now. It’s always going to slow down in the fourth quarter. We’ll start seeing that. And as we get into, particularly into the holiday season, traffic falls off. But that’s okay with the way our portfolio is structured with our lack of leases that come – that roll over during that period of time, we don’t need that much traffic. So overall, I would say that the traffic feels pretty normal across our entire portfolio. The chat where we do have challenges are where, as Ric mentioned, we’ve got – you just got a ton of new supply that’s coming on. And so outside of – so I would say outside of Houston and maybe South Florida, all of the places where we experience some weakness are related to supply that’s coming on in most of the last cycle, the heaviest dose of supply was in the urban markets and urban infill, and where we have communities that are directly affected by other merchant builder lease-ups, that’s where our challenge is.
Alua Askarbek: Got it. And then just thinking about the renewal rates. So I see that rates are going up in October. Do you expect them to keep going up and kind of like, what are you guys keeping out in November and December for the renewals?
Keith Oden: Yes. So we said when we voluntarily put renewal increases on hold for about three months, we felt like at some point when we got back to normal traffic levels, normal operating conditions, in terms of being able to take care of our residents and take care of our new customers that we think will trend back to where we were pre-COVID. And we were pre-COVID and across the portfolio, we were in the 3.5% to 4.5% range on renewals. We think we’re headed back there and maybe it’s in the first quarter of next year. But we think that we’re headed back to more – that more normal looking level of renewals. We’re a little better than 2% now. I would expect to see that continue to tick up. We just started back sending out renewals and all of our markets. And I think we had everyone back to kind of normal order in September. So I think that’ll continue to tick up and we should get back to roughly where we were pre-COVID.
Alua Askarbek: Got it. Thank you.
Keith Oden: You bet.
Operator: Our next question will come from Nick Joseph with Citi. Please go ahead.
Nick Joseph: Thanks. I appreciate all the operating comments and it being close to normal, but just four of those markets that do remain a little weak. What are you seeing in terms of concessions either in your portfolio or at the market on stabilized properties? So not on development, but on stabilized properties.
Ric Campo: Nick, we don’t really – other than in our development communities, which is that’s just more of a historical norm for that, where you offer a month free round of a concession, we don’t really do concessions in our portfolio. We’re on net pricing, and we’re driven completely by our YieldStar revenue management system. We have very few overrides to the recommendations within the YieldStar system. So I know it’s become – the term effective rent has become much more prevalent because we do see our competitors going back to the use of concessions. I suspect even the competitors that are using YieldStar as their primary pricing mechanism. If you’ve got a – if you’re sort of in a panic mode, and YieldStar is telling you to gradually toggle back rents, but you’re at 85% occupancy; a lot of people just don’t have the tolerance and the patience to let YieldStar or any other revenue management system make those decisions, so you end up with people who take the YieldStar recommendation and then do a month free rent. And we definitely see that, there’s no question about it, but it’s just not something that we do, and it’s not something that we are – that we intend to do.
Nick Joseph: Thanks – sorry, go ahead.
Ric Campo: You’re not going to see us start talking about effective rents. What we see – what we show you as pricing is what our leases are being signed at.
Nick Joseph: And there’s no disadvantage from a marketing perspective, if the property next door, even if on a net effective basis, you’re at the same point. If someone sees kind of a month free rent or two months free rent, you don’t see any difference from a marketing perspective?
Ric Campo: We don’t. And the reason we don’t is that our marketing teams are trained to sell features and benefits, and customers know what the net rent is, right? So if the market is down two months free, right, so that’s a huge discount in the rent. And at the end of the day, you’re just doing – you’re creating a financing mechanism for the resident, right? They know what their effective rent is during their lease term. And you’re just creating a mechanism for them to get up rent, free rent. So if the overall market is two months free, then our effective rents are going to come down, but they’re not. And so it’s kind of one-off. So we don’t think of it as a negative competitive situation for us at all. And our people know how to sell through it.
Keith Oden: And it’s just a fundamentally bad business practice in a world where people can move in and then sort of file a CDC declaration and then sort of get their rent deferred. If you start off with two months free and offering them that incentive to move into your community, you may end up with two months free and then a CDC declaration beyond that. It’s just a bad business practice. And honestly, it’s mostly merchant builders who are – they’re trying to get, they opened a community and they’re 30% occupied and they’re trying to get to the finish line, and they do what they have to do.
Nick Joseph: Thank you.
Keith Oden: You bet.
Operator: Our next question will come from Alexander Goldfarb with Piper Sandler. Please go ahead.
Alexander Goldfarb: Hey. Good morning down there.
Ric Campo: Good morning.
Alexander Goldfarb: Hey. Just following up on Nick’s question, just so I’m clear because a lot of your peers talked about at the extreme two months free, and then sort of going from there. So across all your markets, including Southern Cal and D.C., it sounds like you guys really aren’t either you’re not seeing much free rent competition or whatever free rent is in the market just really isn’t material or impactful to you. Is that the takeaway?
Keith Oden: Yes. I wouldn’t say it’s not impactful. I would just say that it’s factored into our YieldStar net pricing. Like Ric said, if you’ve got six communities and lease-up, they’re directly competitive with you, and they’re all given two months free rent, the market clearing price for our community, our rent is going to go down, and obviously that’s reflected. You see in some of these markets in Southern California market, we’ve had our – we’ve had to reduce our rental rates or YieldStar has recommended reducing rental rates across the board, but it’s not – I would say it’s not a meaningful in terms of the overall experience in our portfolio. If you think about – Alex, if you think about the third quarter, we had – of our 14 markets we had 10 of those markets that actually had higher revenues than the third quarter of last year. Orlando was basically flat and we had two that were down. So it’s – the overall picture in our portfolio is one of, yes, it’s not back to where it would have been had we not had COVID, but you got 11 of our markets. So of our 14 markets, they’re actually have positive revenue year-over-year and that’s pretty good.
Alexander Goldfarb: Okay. And then the second question is for Ric, we’ll ask you the – we’ll make you the Chairman of the Sunbelt, Chairman of Texas, and certainly does, I think if you’re a Port of Houston chairmanship. But this morning CBRE announced that they’re going to move from LA to Dallas, where I guess the CEO is from anyway. But just given the discrepancy and employment rebound between your markets versus the continued lockdowns and restrictions on the economies in the coastal blue states, are you guys hearing more business leaders’ talk, increased chatter about relocating their companies to the Sunbelt? Or the trends that were already in place that were driving the businesses to move down there are the same; they haven’t accelerated or because of what’s happened with COVID fallout?
Ric Campo: I think it’s definitely accelerated. The trends have been in place for a long time, but there’s definitely more chatter and more discussion about sort of these pro-business markets. And when you look at a market like Houston, you’ve lost all these jobs and then we’ve added half of them back, and in LA they’ve added zero back. I mean, you look at Houston. Even with energy, we’re down 5% year-over-year in September and employment in Houston, which is big, right? But LA is down 9.7% and it has added back zero jobs. And so I think that the migration from some of these markets will continue. The long-term trends are in place, but I think people call COVID the great accelerator, right? Because what it’s done is it’s accelerated that the notion of work from home, the notion of less commutes, the notion of virtual leasing. And we were talking about all that, and then all of a sudden we had to like put it in place in a week. And I think that migration trends are going to continue, and the great COVID acceleration is probably going to accelerate.
Alexander Goldfarb: Thank you.
Operator: Our next question will come from Austin Wurschmidt with KeyBanc. Please go ahead.
Austin Wurschmidt: Hi. Good morning, everybody. So it sounds fair to say that even though I think you mentioned occupancies at 96%, you feel comfortable continuing to trend higher on renewals. Over time, you expect new lease pricing could remain under pressure because in order to remain competitive versus some of these lease-ups and stimulate traffic, you need to continue to offer kind of that negative roll down on the new leases. Is that fair? Or could we actually see it improve as well with the renewal rates?
Ric Campo: Yes. Austin, that’s fair in the markets where we have the most new construction that’s being delivered to this year and then believing over into 2021. So our challenges are almost entirely – we’ve got the fundamentals are good. The employment’s coming back. There’s plenty of traffic. There’s a lot of demand for the type of communities that we operate in the locations that we operate. However, in some of the markets, Houston would be an example. Dallas is an example. Charlotte is an example. Our communities are located in places that are the most desirable places for merchant builders to build new products. So they get impacted directly by all the new construction that’s going on. And unfortunately in those three markets that I just mentioned, the construction levels that are the deliveries of multi-family apartments in 2021 are roughly the same as they were this year. We’re going to get another 20,000 apartments in Houston. We’re going to get another 20,000 apartments in Dallas. We’re going to get another 13,000 apartments in Charlotte. So the places that are impacted by new supplies are going to continue to be under pressure. However, when you go to the Phoenix’s of the world, Raleigh, Denver, Tampa, these are not markets that have been the subject of a lot of new supply, and they’re going to continue to outperform for that reason. They got good job growth, they have good fundamentals. They’re great places to do business. They’ve got good in-migration patterns and they just don’t have a lot of new supply. So I think that’s going to continue to be the bifurcation and our portfolio is the supply markets that’s probably going to continue into 2021. I think it’s likely that we’ll get a decent amount of relief in 2022, but we’ve got to get from here to there first.
Austin Wurschmidt: That’s a helpful detail. Thank you. And then I wanted to hit on the development starts. Can you just provide some of the economics underlying the deals on the new starts? What you’re assuming in terms of trended rents et cetera?
Ric Campo: Sure. Our new starts, if they’re urban, the projected yields, stabilized yields are between 5% and 5.5%; and our suburbans are 6% to 6.5%. We generally, what we do is we do untreaded rents to as a hurdle to start with. And then we put in what we think the rents might do over a period of time. And our stabilize years do use trended rent. And today, it’s interesting to pay on the market. We have rents going down and then going back up. And if you look at depending on the market, and this gets to Keith’s point on where the supply side of the equation is the, the markets, some markets, we think are going to be back to 2019 rent levels by second quarter, first to second quarter of 2022 or 2021, and other markets are going to take longer. And so our trending definitely we have been more conservative in how we think rents are going to grow over the future. But those are the yields and sort of the way we model these developments.
Austin Wurschmidt: Got it. Thank you very much.
Operator: Our next question comes from Rich Hightower with Evercore. Please go ahead.
Rich Hightower: Hey, good morning, guys.
Ric Campo: Good morning.
Rich Hightower: I guess to follow-up on the idea that COVID is accelerating trends that were underway already, just to dig into this uptick in move-outs for home purchase statistic. I know that you said the year-to-date average is pretty stable year-over-year, but maybe more recently, you’re seeing an uptick there. So what – as best you can tell, what would you attribute it to? Is it COVID per se causing those moves? Or is it sort of the demographic tailwind that should help home ownership over the next 5, 10 years, and COVID is just accelerating that? It’s been a long time since we’ve seen home sales this strong in this country, we’d have to go back to the, I think, early to mid-2000. The template that we’re operating from probably doesn’t help much. So what do you guys think about that and what should we expect?
Ric Campo: I do think it’s COVID accelerating, absolutely. So if you think about the oldest of the millennials, right, the oldest millennials are in their mid-30s, and what they’re doing now is they’re starting to form households. I have – my two daughters are 36 and 38, and they’re having their third children right now, okay? And so they’re classic millennials. And if they were living in apartments, they would be buying houses, right? And so I think that we always expected the older – oldest of the millennials to buy houses at some point. And actually that’s a really good thing for America because when you have good housing demand, moving out to buy a house doesn’t ultimately hurt apartments because what happens is you have a better economy. People are building houses and there’s lots of products being put in those houses, and it’s good for the economy overall. And a lot of the workers that actually build the houses live in apartments. And so with that said, I think it’s definitely accelerated by COVID. I think the historically low interest rates are part of the equation as well. And one of the things I think is actually really fascinating too, if you look at the savings rate between the start of COVID and where it is today, people aren’t spending money on stuff and they’re saving their money. And so you have people who didn’t have enough money for down payments. And what have you now that actually do because of COVID, because they’ve saved a lot of money by not going out to restaurants and to football games and vacations and things like that. I don’t think that you’re going to go to a 25% move-out rate like we had during the you could fog a mirror, get alone days, but it is a rational thing to happen at this point. One of the challenges that you have, and then there I’ve had some questions, when we had – after our Labor Day, we’ve had lots and lots of calls with shareholders and potential shareholders. And a lot of the discussion is, are you going to have massive move-outs from the urbans to the suburbans and from millennials buying houses? And the interesting thing is that the answer is no, because there’s no place for them to go. And if you look at housing inventory in Houston, Texas, right, one of the softest markets, we have to get some gives me energy of our building, we have a two-month supply of housing in Houston. And so even if we – if you had a 20% move out rate for apartments, you can't because there's no place for them to go, there's no inventory. And there's no place for an urban dweller to go to the suburbs, because the suburbs are awful too. So this is a long-term trend, maybe over the next 15 years it could happen. But I don't think so. I think that once COVID is over, you'll have people still want to go to bars, that's one of the challenges we have right now in the spikes, right. People are getting COVID – tired of COVID and they're just putting – they're going out and doing things socially. And I think that will continue in the future. So, I am not too worried about homeownership rate ticking up. I actually think it is a good thing overall.
Rich Hightower: Okay. Thanks for the comments.
Operator: Our next question will come from Neil Malkin with Capital One Securities. Please go ahead.
Neil Malkin: Hey everyone. Good morning.
Ric Campo: Good morning.
Neil Malkin: I know Los Angeles, Orange County are some of your tougher markets, but don't worry. I'm sure, miraculously they will all open up November 4. First question, with technology that you guys have employed, just with the mobile apps and leaned on more heavily because of COVID in terms of how people are leasing and viewing your apartment homes. Are there things that maybe you can talk about today that you think that you can bring forward with you? When COVID is behind us, to sort of gain more efficiency, may be increased our long-term margin, that isn't maybe like one time in nature.
Ric Campo: Yes, absolutely. As we talked about COVID has really has been the great accelerator. And ultimately when we look at our ability to open up locks now on a remote basis, when we look at our mobile applications that we're using for maintenance type work, et cetera, when we're looking at virtual leases, I think all of these things are going to ultimately end up making us so much more efficient than we ever would have been if it wasn't for COVID. To the point that was made earlier, a lot of these things we had talked about for a year or two, and we probably thought it was three years on the horizon and miraculously all of a sudden it became one month on the horizon. So I think we've had some really, really great efficiencies. And I will tell you that I do think the mobile application to open up door locks in common area space is going to be an absolute game changer for not just Camden, but for the industry.
Neil Malkin: Yes, appreciate that. And maybe going back to Austin's question on development or maybe the whole, I guess transaction in marketing that context, you obviously started three projects. I don't recall what your completion schedule looks like for your current pipeline, but what's your comfort in accelerating that, the development just given the – what looks like to be a favorable 2022 for deliveries? And then how does that – I guess, what is the transaction market look like from a disposition standpoint, just given very favorable pricing with high demand and low interest rates?
Ric Campo: So for development, we would like to – we think the development markets can be very good in 2022, 2023. And we're going to try and do as much as we can. It's not easy to get the right numbers in the right – you still have, when you have construction costs continue to rise, maybe at a lower rate because of COVID, but it's still construction costs have not come down. And so it's still difficult to get the right numbers to work well, but we definitely have a pipeline and we will continue to try to add to that pipeline because I think that's one of the – if you're going to deploy capital, development is definitely the number one place for us at this point. In terms of the acquisition and disposition market. So, transactions are about one-third of what they were last year at this – through the end of October. And so clearly transaction volumes down big time. But what is trading is trading at all time high prices and low cap rates. So cap rates have come in dramatically since COVID and I will tell you that we have not seen an acquisition opportunity that has a four in the cap rate, they're all three’s and some change. And we're talking Houston, Dallas, Austin, Denver, you know, Tampa, Orlando everywhere. And so with that said, we have – we're not – acquisitions are really tough when you start with three. And so people have obviously lowered their IRR hurdles and then with interest rates as low as they are most leveraged buyers, or even with a, say a three and three quarters cap rate, they're still able with positive leverage to get very nice cash on cash returns relative to alternatives out there. So from a disposition perspective, clearly it's an interesting environment. I still think that we need a little more market clearing, a little more sort of what's going to happen between now and sort of first quarter. If you look at what Camden did in the last big cycle, we sold $3 billion worth of the assets who were 23 years old or more. And then we bought assets that were four years old and the unique situation there was, we sold that cap rates – we're very close to the cap rates that we bought at. And if that continues to – if that opportunity continues, we may do some of that in the future as well. But it's definitely a tough acquisition market, probably very positive disposition market for developments where we're focused on right now.
Neil Malkin: Appreciate the color. Thank you.
Operator: Our next question will come from Rob Stevenson with Janney. Please go ahead.
Rob Stevenson: Good morning guys. Ric, can you just expand on your comments there about construction costs, I mean there's been a spike in lumber costs? What are you seeing in labor and other materials cost and how much higher was your construction costs on the projects you started in the quarter relative to if you'd started them pre-pandemic, if it all.
Ric Campo: So I think that clearly the COVID has increased costs because of time and general conditions. For example, we have a property in – that we're building in Downtown, Orlando. And the challenge you have with COVID is you have to do all the proper PPE and the proper distancing. We have one way, stairwells and we have to keep our employees and our construction workers safe, and we're all about that. But it just makes the project go slower. Right. And the challenge is, it's sort of a manufacturing process and as you slow it down, your general conditions go up. And we haven't had big cost spikes, mostly it's just been delays and increases in general conditions and those kinds of things. I think that labor is a little more difficult today, in terms of – because of the timing of projects getting completed and costs are definitely not going down. And one of the challenges I think that everyone's having today is, I think this is an interesting situation, the most supplies, for example, getting the right equipment and supplies to the properties is starting to be an issue. And primarily because people sort of – their inventories are way down and they're having to restock inventories today. And that inventory restock has been a real – has been a challenge. And so I would say that, prices today are 2% to 3% higher than we saw on our last starts, but that's actually good because it used to be, 7% to – maybe 4% to 8% higher. So the good news is the rate of growth has come down, but it hasn't come down enough to improve your yields and what have you, that's why numbers are still hard to make.
Keith Oden: And Rob, I would just add that. And you mentioned it in your question that the one area that we have had definitely definite challenges and my guess is that everything, we look at indicates it's going to continue to be a problem in lumber. And we've definitely had a spike in lumber costs and as the single family home construction market ramps up, which is in the process of doing right now big time, just in response to the demand, what is out there in demand for new housing, is that ramps up it's a wood product, and there's going to be a lot more pressure on lumber as we go forward. So that's the one area probably as opposed to Ric's overall commentary on costs that, we are really looking at hard for trying to figure out ways to manage our lumber package costs.
Rob Stevenson: Okay. And then Keith any markets that you see is showing incremental weakness in September, October, that's more than just seasonally. And then also, how many residents would be on your evict list today that you can't do given the pandemic restrictions?
Keith Oden: Well, we have it's not a big number. For the CDC mandate, we think we have about 110 residents throughout our entire 60,000 apartments that are – have, have given us a CDC mandate evictions pending. It's less than 200 to 300 in the system-wide and some of those actually pre-dated COVID and we're working through those, because most jurisdictions have not had allowed us to go back to the people who were already in default status prior to COVID and, and work that through the process. So in most of our markets with the exception of California, which has its own set of rules and restrictions, most of our other markets are back to a regular order in terms of processing evictions. It's just not a huge deal in our world outside of California, obviously in California, you've got a different set of factors there that kind of frustrate our ability to work through the process. It's been a rolling extension of all those protections for the residents and who knows when they're going to – when we're going to see the end of that, but big picture, it's a small, very small component of our overall challenges. We probably having a non COVID environment, 50 to 70 evictions system-wide monthly. So if you just do an average for the year, it's maybe 600, 700 people being evicted out of 56,000 apartments. And so it's a really minuscule number. The biggest issue is are these high balance delinquencies in California, and it's not that they can't pay us, they won't pay. That's the moral hazard you have there. It's fascinating to me to see that we have an – today we have an 8.6% delinquency rate in LA, and we have a 0.4% delinquency rate in Houston. And the difference between the two is moral hazard.
Rob Stevenson: Okay. And then any markets showing incremental weakness in September, October, more than just seasonal?
Keith Oden: No, no.
Rob Stevenson: Okay thanks guys.
Keith Oden: You bet.
Operator: Our next question will come from Amanda Sweitzer with Baird. Please go ahead.
Amanda Sweitzer: Great, good morning. Can you guys talk about what you're seeing today in terms of construction financing? Have you seen any other lenders or debt funds kind of come in and fill the gap from national lenders pulling back, and then just how have development loan terms changed from pre-COVID, both in terms of interest rates spreads and then LTVs?
Keith Oden: Sure. Yes. So there definitely have been pullbacks from money center banks on development and the debt funds are not coming into to fill the gap, but what's happened is, smaller regional banks are definitely coming into to fill some of the gap. The biggest issues that early on, I think Ron Witten had construction starts falling by 50% in his original projections. And that was driven by the debt capital market. And the debt market is being under pressure because of COVID. And then now I think he's saying, believes that it's going to be down by instead of 50%, maybe 30%. And it is definitely driven by debt. The biggest challenge that merchant builders are having is that banks do not want to syndicate. So getting loans over $50 million is troublesome and getting a loan over $100 million is very difficult. So properties in California and other big urban developments are definitely having a real hard time getting financing. I think that spreads have stayed reasonably tight and with interest rates falling the way they have. I think there's been, I've seen some folks talk about floors in their construction loans because just because rates are all time lows. The lenders need a reasonable minimum interest rate or minimum spread, I guess. So there are those getting put in place, but the biggest issue is the loan amount. And I think that's where the challenge is, because it's requiring a whole lot more equity. And there are some debt funds are coming in and bridging that equity with mezz financing, but that's generally the construction market is actually in.
Amanda Sweitzer: Well, thanks.
Operator: Our next question will come from John Kim with BMO Capital. Please go ahead.
John Kim: Thanks. Good morning. I was wondering if you could provide some more color on cap rates you're seeing in the threes. Are these more stabilized assets and the two cap rates or are they assets with potentially some of these have potential and to stabilize deal to be higher?
Ric Campo: They're stabilized cap rates and oftentimes and the challenge we have when we start underwriting those is that they're stabilized full, 93%, 94% occupied, but, but they are – there's a tremendous number of new developments around them leasing up. And so the questions that I have when we look at a three and three quarter, 94% occupied project with 2,000 units leasing up around it, is how can you actually hold that cap rate. It's likely to be, to go down beforeit goes up given the competition. And so these cap rates are very sticky today because of the just the wall of capital and the very, very, very cheap financing. You can get a Freddie-Fannie loan, very decent leverage it, two and some change for seven to 10 years. And if you're a floater, you can get a floating rate debt for under two. Right. And so it's – that's going to keep the private market very, very buoyant. And when you think about fundamentals, post-COVID, the multi-family, market's going to come back and most people believe that will be back to 2019 or early 2020 rents by 2022.
John Kim: Okay. And then Alex, you mentioned that you sold the Chirp Technology to third party. I'm just wondering why you chose to sell this platform, and then I'm assuming it doesn't impact the rollout across your portfolio, but just wanting to make sure that was the case.
Alex Jessett: No, yes, it does not impact a rollout across the portfolio at all. And we anticipate being fully rolled out by the end of 2021. Ultimately we came up with Chirp because there was a need that we needed to solve, and there was nobody else in the industry that was solving that. And so we spun it up, but we always knew that ultimately it needed to belong to somebody else that could run with it and could market it to third-parties, et cetera. And so we found a very natural buyer that we think is a great fit with us. And so we consummated the transaction, but we are still very, very much involved. And as I said, right now, we've probably got a little bit over 50% of our communities have the gateway aspect rolled out and that's what opens up the sort of the exterior doors. And we've got about 5,000 units signed up with the locks.
John Kim: May I ask who the buyer was.
Alex Jessett: Yes, it was RealPage.
John Kim: Great. Thank you.
Operator: Our next question will come from Zach Silverberg with Mizuho. Please go ahead.
Zach Silverberg: Hi, good morning guys. As you discussed migration trends have been certainly in your favor here for the past couple of years and COVID will certainly provide the easier year over comp in 2021, but with occupancy and retention near all time highs, home sales and supply picking up in some corners of your market, putting it all altogether which cities or markets do you feel best or most worried about in 2021?
Ric Campo: Yes. I think that we're just starting the process of putting together our property level budgets for 2021. And my guess is that the markets right now where we have the most momentum on new lease rates and renewal rates will probably continue. And I think that some of the markets that have continued to have supply challenges in 2021 are going to be under pressure. And I’ve mentioned those earlier, Houston, Dallas, Charlotte going to continue to have supply pressure. We're having great success in Phoenix, Denver, Raleigh, Tampa and my guess is that, that those will start out at probably top of the deck in 2021.
Keith Oden: One of the things I think is going to be really interesting is to see the unwinding of the 18 to 29 year olds that have moved home with their parents. And that should be a tailwind post-COVID. When you look at prior to COVID and this is a big number, and it always hurts my head to think about this, because I have some know kids moving home. So pre-COVID, we had 39% of 18 to 29 year olds have lived at home. It's spiked to 30% to 46% in the middle of COVID, now it’s about down to 42% by the end of the third quarter. So one of the positives for us is we've had some of that demand released. There's still over a million, sort of missing millennials that are doubled up or at home. And once COVID breaks and job gains come back, those high propensity renters will come back into the market. I think more than offset people moving out to buy houses.
Zach Silverberg: Kind of appreciate the color. And I guess just the follow-up sort of earlier comment or question. I was wondering if you could provide any more color in the product type or geography where bad debt has run a little bit higher and has your average credit profile tenants changed throughout the pandemic.
Ric Campo: So bad debts or delinquencies if you want to call them that are highest in California, for sure. And that's primarily, as Keith mentioned driven by policy there, AB-3088 and what have you, it's just a policy there. The other market would be South Florida, South Florida is very tourist driven, obviously and South America travel driven. And we've seen maybe a 100 basis points to 200 basis points higher there than the rest of the markets, but most of the markets are pretty much in a normal kind of state including Orlando for a matter – given the situation in Orlando where you have same kind of 9% job losses there. In terms of credit quality absolutely not, the credit quality is one of the most important things we keep high, because we could easily increase our occupancy by 150 basis points. We dropped our credit quality, but what would happen is that you would you end up with more bad debts and more evictions and more skips, and we'd just be – there's just no upside ever in lowering your credit quality. And we are seeing no difference in delinquency from Class A, Class B or urban to suburban. Yes, delinquency is the same across the board.
Zach Silverberg: Awesome. Thank you guys.
Operator: Our next question will come from Alexander Kalmus with Zelman & Associates. Please go ahead.
Alexander Kalmus: Hi, thank you for taking my question. I was just circling back on the point regarding demographics. When you think about your portfolio today in the mix of one, two, three bedrooms that you have, do you think you're accounting for the growing cohort? Are you properly positioned for those grown families or would you like to see more three bedrooms in the future?
Ric Campo: Yes. If look at our three bedroom components we have about 6% of our portfolio is three bedrooms. And I bet if you took our three bedrooms compared to our one bedrooms our move out rate to buy houses would be substantially higher in our three bedrooms than our one bedrooms. So we have always generally, catered to a single people or people with one or two people in the apartment and not to families because they have a higher propensity to move out to buy houses or to rent houses. In addition families just require more stuff, more amenities and things like that. We have a property, for example, in Denver that that has all, twos, three bedrooms and not very many, one bedrooms, and it's a great family property, but it has a higher turnover rate and higher move out rate to buy and rent a house than any of our other properties in Denver. So it's not a market that we are catering to or will cater to in the future.
Alexander Kalmus: Got it. Thank you. Makes sense. And just looking at utilities expenses, they weren't that inflationary from last year. So do you have a sense on going back to work in your markets? How many of your tenants are working from home versus going back at some of your peers had much higher utility increases? Given the usage on the apartments?
Ric Campo: Yes. What I will tell you. If you look at utility expense, there was not a significant increase, but if you look at utility rebilling, which is probably a better way of thinking of it, there was a large increase. So we do believe that we've got a lot of our residents are at home, utilizing a lot more water than they and trash they typically would. So we think we've got a great deal of our residents are in fact working from home.
Alexander Kalmus: Got it. Thank you for the color.
Operator: This will conclude our question-and-answer session. I would like to turn the conference back over to Ric Campo for any closing remarks.
Ric Campo: Thank you. And thanks for being on the call today. We will – I am sure talk to lot of you at NAREIT here coming up soon. So, thank you and we will see you later. Have a great weekend and stay safe.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.